Operator: Good morning. My name is Don, and I will be your conference operator. At this time, I would like to welcome everyone to the Pentair Q4 2012 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers remarks there will be a question-and-answer session. (Operator Instructions) Thank you. Mr. Jim Lucas, you may begin your conference, sir.
Jim Lucas: All right. Thanks, Don. And welcome to Pentair's fourth quarter 2012 earnings conference call. We're glad you could join us today. I'm Jim Lucas, Vice President of Investor Relations. With me today is Randy Hogan, our Chairman and Chief Executive Officer; and John Stauch, our Chief Financial Officer. On today's call, we will provide details on our fourth quarter and full year 2012 performance, as well as our first quarter and full year 2013 outlook as outlined in this morning’s release. Before we begin, let me remind you that any statements made about the company's anticipated financial results are forward-looking statements subject to future risks and uncertainties, such as the risks outlined in Pentair's 10-K for the year ended December 31, 2011, and today's release. Forward-looking statements included herein are made as of today, and the company undertakes no obligation to update publicly such statements to reflect subsequent events or circumstances. Actual results could differ materially from anticipated results. Today's webcast is accompanied by a presentation, which can be found in the Investors section of Pentair's website. We will reference these slides throughout our prepared remarks. All references today will be on an adjusted basis, unless otherwise indicated, for which the non-GAAP financials are reconciled in the appendix of the presentation. We will be sure to reserve time for questions-and-answers after our prepared remarks and recognition there are other call this morning we will target to be done in just about an hour. With that, I’d like to request that you limit your questions to one and follow up, and get back in the queue for further questions, so that everyone has an opportunity to ask their questions. I will now turn the call over to Randy.
Randy Hogan: Thanks, Jim, and good morning, everyone. Let me begin with our fourth quarter performance which is on slide three. This marks the first quarter for Pentair since we successfully closed our merger with Flow Control at the end of September last year. As you saw in this morning’s press release, there are quite a number of moving pieces with the size of its merger. Our objective is to give you needed insights into our company, so we will provide detail on how the merger cost impact the fourth quarter results, and John will cover some of the larger one-time events in his prepared remarks. I will discuss our operating results on an adjusted basis to better address the core operating performance of our businesses. Before I begin to discuss the fourth quarter results in detail, I want to spend the moment explaining why the numbers are presented in the manner they are. For the full company results, the fourth quarter of 2012 includes Flow Control’s results combined with Pentair, as compared to the fourth quarter of 2011 which includes of course only Pentair results. As we discuss the segment results, however, we will present the results on a pro forma adjusted basis as if the results were on apples-to-apples comparative basis. You will find reconciliations of this for the segments in the appendix at the end of the presentation. With that here are the numbers. Fourth quarter revenue increased 103% on a reported basis, but excluding the impact of Flow Control and FX core revenue was flat in the quarter. Adjusted operating income grew 59%, while adjusted operating margins contracted 240 basis points to 8.5%. Majority of the margin compression relates to transition costs incurred during the quarter, which we discussed in detail on our Investor Day in November. As a reminder these transition costs includes such things like branding and signage, packaging, inventory and warranty adjustments. Adjusted EPS came in as expected with the decrease 16% year-over-year due to the impact of the deal, particularly the doubling in the share count from the comparable period one year ago. Adjusted free cash flow for the year was over $300 million and exceeded 100% of adjusted net income again. The topline and adjusted operating income were in line with our prior guidance. We make good progress in building the action plans to deliver the $90 million in synergies we outlined in November. In addition, the first $400 million of our share repurchase will be completed by the end of January. So, overall, we’re underway as expected. Now, let’s turn to slide four review of Water & Fluid Solutions segment performance. Water & Fluid Solutions sales were up 1% as reported and on organic basis since FX was only a modest headwind in the quarter. As a reminder, Water & Fluid Solutions represents the legacy water segment for Pentair plus the West business from Flow Control. Overall, price delivered the growth in the quarter as volumes were flat. The residential commercial vertical which represents roughly half of the segment grew 2% in the quarter as we are seeing continued signs of our North American residential recovery. While the growth in the fourth quarter in North American was modest, distributor inventory levels are relatively low and overall demand seems to be getting healthier. Western Europe continued to be a challenge, particularly due to distributors maintaining lean inventory levels and having minimal order activity at the end of the year. Within Food & Beverage which accounts for approximately 15% of Water & Fluid Solutions, we saw continued low single-digit growth in the food service sector, while several beverage projects were postponed at the end of year as many of our customers were watching their capital spending at the end of the year. Infrastructure, which is nearly 25% of Water & Fluid Solutions was down 3% in the quarter as an absence of global desalination projects has hampered our European infrastructure business. In the U.S., however, we have continued to see healthy gains in our backlog, which was up 5% in the fourth quarter following double-digit growth in the prior two quarters As a reminder, we’ve not seen much of a rebound in project activity but the break and fix category continues to improve. We believe our strong backlog position in North American infrastructure bodes well for growth in the first half of 2013. The right half of the page shows fourth quarter Water & Fluid operating profits and margins. Water and Fluid adjusted operating margins contracted 250 basis points to 7.5%, as we accelerated transition costs in the fourth quarter to position us better as this year begins. Absent the transition costs in the quarter, price and productivity continued to offset inflation. In summary, Water and Fluid Solutions exited 2012 with some potential tailwinds emerging in North American Residential and infrastructure, and we expect the actions taken in the fourth quarter will put the segment in a good position to build momentum on operating margin expansion in 2013. Now, I’ll turn to slide five for review of our Valves & Controls segment performance. This is the first quarter for Pentair’s Valves & Controls segment. Overall, we are pleased with the results delivered, following the strong last quarter’s part of Tyco and their first quarter’s part of Pentair. Revenue grew 3% organically on solid volume gains. The energy vertical grew 2% mostly on strength in oil and gas. Within the industrial vertical, the top line was up modestly as several projects were delayed, which was a recurring theme we saw in many of our project related businesses in the fourth quarter. We’ve not seen any cancellations, but as I mentioned when discussing water, customers seem to be holding on tightly with our capital in the fourth quarter. And we would expect many of these projects to resume in the first half of 2013. The right half of the page shows fourth quarter Valves & Controls operating profits and margins. Valves & Controls operating margins were down 40 basis points to 7.6%, owing to mix and the acceleration on transition costs that were mentioned at the beginning of my remarks this morning. In summary, Valves & Controls first quarter as part of Pentair went well as the fundamentals for their business remain intact and the integration and standardization efforts made good progress, particularly with regards to training on PIMS. Now, let’s move to slide six for look at the orders and backlog for Valves & Controls. Not only is this our first quarter with Valves & Controls as a segment, but this also marks our first time discussing orders and backlogs for the segment. As you can see on slide six, the Valves & Controls backlog is broken down in four key markets, three of which formed were energy vertical, oil and gas, power and mining and one our industrial vertical which is the process business. Backlog grew 2% to a near record $1.4 billion. With oil and gas, backlog remained strong globally but orders declined to the mid-teens rate due to project delays and a tough year-over-year comparison. Mining, one of small piece of Valves & Controls saw strong double-digit growth in orders. The power business saw decline in orders, but the outlook there points to a pickup globally as 2013 progresses. Finally, backlog within process remain relatively steady, our orders grew modestly. Now, let’s move to slide seven for a review of Technical Solutions. Technical Solutions comprises Pentair’s legacy equipment protection business and Flow Controls Thermal Management business. Sales for the segment grew 1%, led by strength in energy and seasonal strengths with Thermal Management business, as distributor stocking occurs prior to the weather getting really cold. Industrial declined 1%, as inventory destocking continued for many of equipment protections customers. In addition, this quarter mark the end of a large project within Thermal Management. The right half of the page shows fourth quarter Technical Solutions’ operating profits and margins. Technical Solutions operating margins were flat at 17.4%, owing to positive contributions from price, productivity and mix which helped mitigate transition costs in the quarter. While we expect the top line to remain challenge in industrial, it remains good runway in margins and we expect overall improvement in Technical Solution as the year progresses. Now, let’s turn to slide eight. For the full-year 2012, sales grew 28% on a reported basis largely due to the contribution from Flow Controls for all of the fourth quarter. Adjusted operating margins contracted 60 basis points for the full-year to 11.1%, as the aforementioned transition costs in the fourth quarter were spent to help better position our businesses to deliver on our targets in 2013. Adjusted EPS were relatively flat for the full year given the dilutive impact of the share count doubling, following our transformational acquisition of Flow Control. For the full-year, adjusted free cash flow as I mentioned earlier was just over $300 million and exceeded 100% of net income. We believe the strong backlog in Valves & Controls and Water and Fluid Solutions infrastructure business are encouraging entering 2013. Further, we believe continued strength in global energy and a rebound in North American Residential also offer positive indications for growth to accelerate as 2013 progresses. Now, let’s turn to slide nine. This slide is a comparison of the top line growth components in 2012 on a pro forma basis, as both Pentair and Flow Control have been together for the entire year and what we expect the growth components to be in 2013. As you can see, we are expecting a little less contribution from volume in 2013, but FX should be less of a headwind and we are anticipating some top line synergies to begin to be realized in this New Year. Overall, the growth components remained similar from 2012 to 2013. On slide 10, we wanted to offer a similar look at operating income growth as we presented on the prior slide, when looking at the top line growth components. The key takeaway in this slide is that we expect our base businesses would be up for the full year, but the real boost will come as we deliver on our targeted $90 million of synergies. The result is well over a 100 basis points of anticipated margin expansion as synergies read out. Now, let’s move to slide 11 where we discuss our 2013 expectations. In November at our Investor Day, we laid out our initial expectations for 2013, which we are affirming today. For the full-year 2013, we are expecting sales to be up 3% to 5% to approximately $7.6 billion. As mentioned previously, energy and North American Residential are two of the verticals where we see continued positive trends. Fast growth regions are still growing, and we are excited about several areas such as the Middle East where our presence has grown as a result of bringing these two organizations together. Well, we expect Western Europe will remain a challenge, we should see some easing on the foreign exchange headwinds from 2012. We continued to target $950 million in adjusted operating income and roughly 20% growth in adjusted operating margins approaching 12.5%, driven in large part by the fourth quarter repositioning actions and the synergies we’ve discussed both at the Investor Day and in today's call. As highlighted in the prior slide, we expect our base businesses position to deliver near double-digit operating income growth and synergies will drive additional upside. Our adjusted EPS guidance remains in a range of $3.10 to $3.30, or 22% to 30% growth for the full year. In addition to strong operating income growth, we are forecasting a 25% tax rate and continued benefit from our share repurchase activities. With that, I'll turn the call over to John.
John Stauch: Thank you, Randy. Please turn to slide number 12, labeled reported to adjusted 2012 items. As result of the merger and integration activities, Q4 and full-year 2012 results include a little bit of noise. Therefore, we want to provide some additional clarity around those items so you can better understand our adjusted operating performance. As a reminder, as Randy mentioned earlier, the key financial numbers by quarter and by reporting segments are included in the press release for 2011 and 2012, excluding the impact of these items. Our adjusted EPS for 2012, which reflects three quarters of Legacy Pentair alone plus one quarter including Legacy Pentair and the Flow Control acquisition were $2.39 for the year. Acquisition related costs, which include deal costs, customer backlog and inventory step-up, plus a few other items for a loss of a $1.41 per share. This was in line with our previous estimates. I would like to remind you that we expect the inventory step-up and customer backlog to continue to the first two quarters of 2013. Restructuring totaled $0.35 of EPS with the majority coming in Q4. To date, we have identified approximately 85% of our expected $75 million of repositioning actions for 2013. And we expect to take a few more actions in Q1 that we’re closing the gap under 2013 expected benefit. These actions will primarily be around functional standardization and back-office consolidations. The next item to discuss relates to trade name impairments associated with our brand migration strategy and greatly reducing many of the complications that occur by trying to maintain numerous brands. Many with limited perceived value yet require a lot of cost for growth and maintaining. This is a non-cash charge and we are happy to be carrying these smaller brands in our portfolio as we accelerate -- happy not to be carrying these smaller brands in our portfolio as we accelerate our marketing and branding efforts around fewer and more impactful brands. During the fourth quarter of 2012, we elected to change to a more preferable method of accounting for pension and post-retirement benefits. Historically, we recognized actuarial gains and losses annually as a component of stockholders equity, amortizing them into operating results over future periods. We will now immediately recognize these gains and losses and operating results in the year in which they occur. These gains and losses will be measured annually as of December 31st and will be recorded in the fourth quarter of each year. For the fourth quarter of 2012, the company recorded charge of $142 million for actuarial losses. This change in accounting principal will be applied retrospectively. The impact of prior periods is summarized to the schedule attached to press release. This was done in conjunction with a pre-funding of $193 million to our U.S. pension plans and moving to a risk mitigating investment strategy within the plan. We are now fully funded in U.S. domestic plans which has currently invested 92% in fixed returns. We believe that based on current borrowing rates the transformational deal we did and the importance of removing the uncertainty to our employees and retirees, this was the appropriate time to implement this change. With this now behind us and allows us to focus on what we do best, running the company. And finally, the last major adjustment was the extinguishment of the private placement and public bonds that allows us to create more advantageous capital and tax structure while completing the merger. While all these adjustments drive us through important GAAP loss for 2012, they were combined with completing an exceptional merger with flow control, and we believe all position us nicely for the future. Please turn to slide number 13, labeled integration and standardization update. Let me start by reiterating that we're definitely on track to realize the expected $90 million in synergies for 2013. Please focus on the left side of the chart. We’re trying to give you perspective of how we will realize these synergies throughout the year. A couple of key points in this slide, first, the anticipated savings ramped throughout the year for a couple of reasons. One, because of the way the operational synergies need to flow through inventory, they're not expected to be realized until the second half of this year. And two, even though the majority of notifications to employees on the repositioning have taken place, most of those employees will not be leaving the organization until the end of the first quarter and into the second quarter. Additionally, we are celebrating some investments in the first quarter of 2013 around tax planning, small manufacturing plants and building closures and ERP consolidations. These actions have a little bit of headwind, net of savings within the first quarter. However, you can see that we expect our exhibit in Q4 to give us a nice acceleration into the first couple quarters of 2014. Please turn to slide number 14, labeled balance sheet and cash flow. Being mindful of time and wanting to leave enough for your questions, I would just hit a few of the highlights on this cash flow page. First, obviously a large adjustment of $339 million, this is detailed in the lower left section of the slide and consistent with the adjustment to EPS that I shared with you earlier. Second, our current debt level of $2.5 billion was exactly where we thought it would be and is inclusive of approximately $330 million of stock buybacks executed in the fourth quarter. As of today, we are approximately $260 million of cash on hand, mostly located in foreign entities. It will be focused on efforts to utilize this cash more effectively in 2013 and ‘14. Please turn to slide number 15, labeled Q1 2013 Pentair outlook. Now, on to the first quarter of 2013, where the focus will turn to execution of our committed goals. You will probably need a little time to absorb the pro forma numbers that we have included to better understand the new seasonality of the company. We've excluded from the pro forma numbers three main items. First, we’ve removed all sanctioned country, revenue and profits from the base of 2011 and 2012 for Valves & Controls to provide a better year-over-year comparison. This excluded revenue was associated with sales produced by an acquisition completed by Valves & Controls in 2011. These jobs were delivered upon until shipments for these customers were declined prior to the closure of the deal. This result in substantial charges to income in Q3 of 2012 and we have moved all impacts of that from the results. Second, we have restated all the segments for corporate allocations and new depreciation and amortization, consistent with 2013 and forward expectations and assumed corporate cost in 2011 and 2012 to be equal to the Pentair go-forward cost in 2013. We've also moved any large projects or jobs and divestitures that have no shipments in 2013 and beyond and technical solutions for clear comparisons of organic revenue growth in the future. And third, we have adjusted the tax rate in 2011 and 2012 at the expected 25% rate for 2013 and put the share count in 2011 and 2012 at 214.5 million shares, which was the share count on the date of closure. We hope you find the way we’ve restated the numbers to be helpful in focusing on our operating performance and removing the noise. So after all that, we expect Q1 sales will approximately be $1.8 billion for the total company, which would be up around 1% year-over-year in an organic basis. We expect Valves & Controls sales will be up slightly compared to the first quarter last year where they were up over 20% year-over-year. Water and fluid solutions should get some tailwind help from North American residential and other recovering markets. And technical solutions is still navigating choppy markets after difficult end to 2012. We remain cautious about our markets in the start of the year and feel that operationally there's a lot for us still to learn about the new businesses. We believe this approach helps us focus on what we can control cost and hopefully markets deliver sales upside in 2013. We expect adjusted operating income will be up slightly versus 2012 pro forma, reflecting that we have about $10 million of headwinds associated with the items I mentioned earlier regarding cost to get the synergies and only around $5 million of expected synergies to be realized in Q1. Overall, adjusted operating margin should be above flat and adjusted EPS should be flat to up slightly on a pro forma basis. We’re expecting interest to be between $18 million and $19 million and we are expecting the average share count in the quarter to reflect 207 million shares. The tax rate as I mentioned should be around 25% for the full year and quarter. Please turn to slide number 16 labeled full year 2013 Pentair outlook. For the year, our expectations are consistent with what we told you at our November Analyst Day. Our revenue outlook growth assumptions remain up 3% to 4%. However, we might notice that the overall revenue is slightly lower reflecting removal of the large job and divestitures shipped or sold in 2012 and ‘11. The $790 million of pro forma in 2012 adjusted operating income is consistent with the starting point we share with you at the analyst meeting. It means we need to deliver about $160 million of operating income year-over-year to hit our $950 million commitment. As Randy mentioned, this is about $70 million from the base consistent with 2012 pro forma performance and $90 million of synergies, of which $75 million is expected from repositioning actions that are already complete or will be completed by Q1 of 2013. We are affirming our full year 2013 just the EPS range of $3.10 to $3.30 and we are focused on delivering detail growth action plans to demonstrate a higher level of organic growth and detail productivity plans to not only meet 2013 expectations, but we will continue to invest and deliver on our $5 goal for 2015. Please turn to my last slide, slide number 17 labeled Q4 2012 Summary. We closed out Q4 as expected, markets were sluggish but we plan for that. We executed against our commitments and believe we are well-positioned to deliver going forward. Hence will be the way we ensure consistency around organic growth, productivity, standardization and common values and language in the larger company, it will give us a stability around actions and culture required to know that we are delivering consistent high-performing and repetitive results. Standardization of the back office is requirement to reduce complexity and simplify and improve the customer and employees experience. We're well on our way to roadmaps and we are encouraged by the early progress in the first quarter as a combined company. I will now turn it back to Randy. Randy?
Randy Hogan: Thanks, John. Please turn to slide 18 labeled also summary. To close, let me tell you why we are better position entering 2013 just to wrap everything up. While the fourth quarter had a lot of moving pieces resulting from the acquisition. We are also busy accelerating actions in the quarter to deliver cost benefits and grow synergies in 2013, and we’re really on track. PIMS adoption by Flow Control has exceeded our expectations today and we see a lot of opportunities improve in areas such as delivery and cost, but also driving working capital improvements. We continue to see some win shifts and some tailwinds emerge particularly in North American residential market where the peers were no longer bouncing along the bottom after six of that and now rebounding at a moderate pace. Infrastructures grown its backlog and we continue to see strength in energy and food and beverage. Our balance sheet remains strong and our focus in the near-term will be on share repurchase and dividends, some businesses we have such as aquatics and thermal management, which are already well down the standardization path. We are in the right to grow through bolt-on acquisitions. As other business units progressed on the standardization path, they too will have bolt-on acquisitions re-enter their mix. But the principal focus in 2013 for the whole company is delivering on our and executing our plan for integration, standardization and growth, and as always, we’re going to remain discipline in our capital allocation strategies. So operator, we are ready for questions. So -- take the first.
Operator: (Operator Instructions) Your first question comes from the line of Scott Graham with Jefferies.
Randy Hogan: Good morning, Scott.
Scott Graham - Jefferies: Hey. Good morning.
Randy Hogan: Yeah.
Scott Graham - Jefferies: Just a one question and one follow-up, you guys made a comment about the power market, kind of being sluggish right now, but expecting an improvement as the year progresses? Could you give us little bit of more color on why you think that? And then I have one quick follow-up?
Randy Hogan: Yeah. In power -- and power is an important market particularly for Valves & Controls. And there was a real slowdown in building a power plant and they are big in Asia and they are big all over the world. And we are seeing an increase in activity, bidding activity in that space which gives us some encouragement.
Scott Graham - Jefferies: Okay. Great. And you indicated that the some of the branding and other transition costs that you were accelerate in the fourth quarter? Did that come in as expected as you indicated on your from your Analyst meeting and your last quarter guidance?
Randy Hogan: Yeah, Scott, it did.
Scott Graham - Jefferies: Very good. Thanks.
Randy Hogan: Thank you.
Operator: Your next question comes from line of Jeff Hammond with KeyBanc Capital.
Randy Hogan: Hey, Jeff.
Jeff Hammond - KeyBanc Capital: Hi. Can you hear me?
John Stauch: Yeah. We can.
Jeff Hammond - KeyBanc Capital: So, I just want to understand this pension change a little bit better. What’s kind of the annual cost savings and what’s kind of reflected in your ‘13 guidance around that change?
John Stauch: Yeah. Jeff, let me just step back. I mean, as you know when you do a large merger like we did, these losses are put to purchase accounting on the target company and we were doing accounting acquire. So we were going to take all the market-to-market and put it in purchase accounting for Tyco. It seemed like a logical thing to do and we entered Analyst Meeting, we were going to do this and in conjunction with putting those losses behind us, we have fully funded the plan and moved to a fixed strategy. So, as we look at ‘13 guidance on a go-forward basis, it always reflected the benefit of this. Now, I can't predict what it would be or wouldn’t be, Jeff, because I don't know how the market gains were worked out and what that positive or negative was. So, Legacy Pentair on an annual basis, we were looking somewhere maybe around $7 million, $8 million operating income a year of headwinds associated with these.
Jeff Hammond - KeyBanc Capital: Okay. So the guidance is unchanged because you were contemplating that. But what’s kind of the year-to-year delta of the change?
John Stauch: It’s just hard to say. I mean, I would have said the $7 million to $8 million is reflective. But maybe what we might have avoided in the short run. But as the benefits pick up, we also avoid the benefits in the long run. So really don't know how to predict that.
Jeff Hammond - KeyBanc Capital: Okay.
John Stauch: So the change was becoming affective, we are fully bonded, removed to fix whichever relatively small adjustment every year that we take into mark-to-market because we no longer are subject to the uncertainty related to the investments within the plan.
Randy Hogan: But that was intact with anyone, yeah.
Jeff Hammond - KeyBanc Capital: Okay. That's helpful. And then just quickly on the growth rates, you are looking for 1% growth in the first quarter and 4% in the full year. And I understand the cadence on the cost savings. But I mean on the top line, what are you seeing that give you confidence in kind of this reacceleration as we move through the year versus the weaker 1Q?
Randy Hogan: Yeah. Well, fourth quarter was -- we saw 4,000 projects, we saw some strength in our residential but not all of it. So we are more cautious. That’s the one reason where we see 1% in the first quarter, as we don’t think it’s just a throwing a switch from the fourth quarter and first quarter as the projects blew up. But we haven’t seen cancelations. And there is really good fundamental growth in the economy and particular in residential. And so as I said, we think energy, particularly oil and gas looks good. We think North America Residential looks good. In the food and beverage space, we saw a lot of projects that just got delayed and whether it’s fiscal cliff or whatever reason, companies -- they didn’t cancel these projects, they just delayed them. So as the world gets little more certain, we think that they may be coming back and we’ll welcome when they do.
Jeff Hammond - KeyBanc Capital: Okay. Thanks, guys.
John Stauch: Thanks, Jeff.
Operator: Your next question comes from the line of Christopher Glynn with Oppenheimer.
Christopher Glynn - Oppenheimer: Thanks. Good morning.
John Stauch: Hey, Chris. Good morning.
Christopher Glynn - Oppenheimer: Just one more on the pension being fully funded, that sounds great. I think you said 90% kind of fixed income in the composition. I’m wondering if that's -- the returns on that are enough to maintain fully funded status.
John Stauch: It’s certainly a great question. Once we get to 100%, we hope it will be and really what we are dealing with is that your discount rate movement should reflect the bond purchases, Chris. And then I mean, we’ve done our best to try to hedge it but you can never be 100%.
Randy Hogan: And to match it’s certainly not possible. With interest rates where they are today, it was just a great time to borrow the money and to fund it. And our employees, we had a lot of questions becoming a Swiss company and technically Tyco buying Pentair, lot of our employees were retirees asking questions about what about my pension. So it’s a nice improvement in the employee relations too.
John Stauch: And, Chris, as you know it doesn’t affect you on a rating agency basis. And I think what we didn’t want to do is have to manage this as a potential cut or benefit into the earnings stream going forward. And I think now it allows us to focus on the operational performance of the business and deliver on the $5 per share that would drive into in 2015, and the way that I think you would expect us to.
Christopher Glynn - Oppenheimer: Okay. And the transitional costs, call that a couple hundred basis points gets $35 million or so. So pertaining to that, just wondering if we could allocate those dollars roughly by segment, and is the transitional costs all accounted for now in the fourth quarter.
John Stauch: Yeah. We try to get as many of them into Q4 as possible. I mean, I don't know if we can ever be certain that we included it all, but I can tell you we will mentioned it to you in Q1, meaning the businesses what they couldn’t get into Q4 have absorbed them and their plans for next year. They are broken out in the back, Chris, but I will say that I don't think in those numbers, we fully captured all the thermal and Valves & Controls because I don't think they were aware of the process in which kind of we look at, what’s in their results versus what’s in corporate. But they are focused on branding, primarily. They were focused on things related to our confidence level on customer collections, and also our ability to think of potential warranty issues and to address those and that makes up a majority of it. And as I mentioned before, you can see the difference in the back.
Christopher Glynn - Oppenheimer: Okay. Great. And you said you won't be calling them out going forward, John.
John Stauch: It would not be my inspection. It would not be Randy and ours intention to share with you transition costs in Q1.
Randy Hogan: We want to get -- we want to get back to -- I mean our whole objective here was to get as quickly to a normal base of well operating companies. So we’ll just get back to being an operating company and as quickly as possible.
John Stauch: So, Chris, just to remind you, this was signed exchange on Tyco. This was accelerating the migration away from the Tyco packaging the brands. This was addressing within the Legacy Pentair water business. The small brands that weren’t funding anymore, and that’s what we got after. And we gave our businesses a six-month head start to try to get all that behind them and it’s our intention and view, that that's done.
Christopher Glynn - Oppenheimer: Okay. And then lastly, I think you're intending about $20 million more restructuring in the first quarter. Restructuring is very small in the fourth for Valves & Controls, so is that that where kind of the first quarter charge is likely to locate?
John Stauch: Without calling a particular segment out, I think there is more potential cost structure which really was a result of where the cost were between corporate and the segments. And we believe on the functional standardization journey, there’s opportunities there. The other areas that we are finishing and completing our fast growth market alignment and deciding what sales office and what region will best be serving the overall Pentair, and we see an opportunity around real estate consolidations and the likes in those regions that we also expect to get completed during Q1.
Christopher Glynn - Oppenheimer: Great. Thanks for the color.
Operator: Your next question comes from the line of Steven Winoker with Sanford Bernstein.
Steven Winoker - Sanford Bernstein: Thanks and good morning.
Randy Hogan: Hey, Steve.
Steven Winoker - Sanford Bernstein: Hey. Just first question. So, I guess you hate your hundred day plan on January 9th, right. That was the intention and I’m reading the words and your dialogue about the benefits, the lean and sourcing benefits delayed to second half. Just give me a sense for what was delayed in tech as expected and what was not expected?
Randy Hogan: Let me address the narrow part of that question and get back to the broader one. Basically, at anytime you have, we have very low turns in our new businesses. And anytime you have any kind of labor saving, anything that goes through cost of goods sold has to go through inventory. So actions taken don’t show up. If you have four turns, you kind of wait at least the quarter. If you got two turns you get to wait six months before if something -- before a cost benefit flows through to the P&L. That’s number one.
Steven Winoker - Sanford Bernstein: That shouldn’t be a surprise, right. Randy?
Randy Hogan: No.
Steven Winoker - Sanford Bernstein: That part was not a surprise.
Randy Hogan: That’s why we are on track to hit our 90.
Steven Winoker - Sanford Bernstein: Yeah. Okay.
Randy Hogan: Basically, as I look at it halfway through the year, we actually we did better on financing, we did better on -- we are in better shape on tax, we are in great shape on corporate costs. We got a lot of momentum on that 90, I think 75 and the 90s really in hand already and the other 15 we know, we know how to get. So, I wouldn’t want anyone to think that we think we delayed on anything because I don’t believe we are.
Steven Winoker - Sanford Bernstein: And then the broader question, I guess is that addressing sort of as you step back and look at your hundred day plan?
John Stauch: Steve, I mean just to reiterate what Randy said, I mean I always had the sourcing and the lean savings back end loaded in the plan. And then the other thing that’s earlier in the year is we do have a couple of small plant closures that we are working on, which as you know provides a small headwind. And the tax rate is very important to us, especially for ’15. So we are going to spend the investment required in the first half for this year to position ourselves for making sure that we realize that lower Swiss tax rate long-term. Other than that from a timing perspective, everything as Randy said is on track and we control the destiny on the cost out on the repositioning and we feel good about it.
Randy Hogan: Everything in our control is on track or ahead. The only thing that isn’t good as I would like would be the end markets.
Steven Winoker - Sanford Bernstein: Right. And to that point, your price productivity and mix ended up 40 basis points less in volume and inflation on the out margin impact, right. And I was trying to reconcile that with the growth number of $3 million up, so it’s all FX I take it on the volume side or just maybe help a little bit. As you think about volume and inflation being offset by price productivity and mix, maybe go into the components a little bit, that might have been a little more than you thought.
John Stauch: Yeah. I mean I think some of that productivity is being distorted by a little of the transition costs, Steve. I think going forward, we do think inflation continues to be sub to in the first part of the year, first half of the year and then just gets slightly above 2% in the back half of the year. We are planning on about a point of growth, a point of price I’m sorry for the full year. I think we hope to do better than that. I mean, if we get more MRO activity in the Valves & Controls business and more standard product in thermal, I think we will do better than that. It is the projects that tend to compress the pricing. So, I think we are in line with what we are saying and I think what we were saying, and what Randy is sharing with you is that there is a piece that we can control. And we’re pedal to the metal on that, doing everything we can and then some to make sure that we send the right message internally around cost control, making sure we get the repositioning done and making sure the market alignment is lined up. We are hopeful the markets are better. And there is reason in the business units for them to believe that they are. We would just like to make sure it's guaranteed versus something we are planning for and that does come.
Steven Winoker - Sanford Bernstein: Maybe just sneak one last thing. On the business unit portfolio side, as you look at the new portfolio when you are considering not just where you'll add bolt-ons overtime as the business units earn it as you’d point out. On the flip side, with that maybe calling out the specific units, are you actively pursuing processes or early-stage processes in terms of pruning the portfolio where it makes sense?
Randy Hogan: Yeah. I think we mentioned at the Investor Day that we actually -- we talked to all the businesses. The level of materiality for our business is $50 million bucks now. If it can't be $50 million or more than I really don’t want to waste any strategic or capital interest on them. So that’s part of our strategic review this year. There is a couple that we have underway now, smaller business $20 million, $30 million that are in process of being sold now. And I expect that once we get our full round of strategy reviews through with the seven business units that we may identify some more.
Steven Winoker - Sanford Bernstein: Okay. Great. I will pass it on. Thanks.
John Stauch: Thank you.
Operator: Your next question comes from the line of Brian Konigsberg with Vertical Research.
Brian Konigsberg - Vertical Research: May be just first. I know you guys…
John Stauch: Brian, how are you?
Brian Konigsberg - Vertical Research: I’m good. How are you doing, guys? Just question on, now, that you guys have a quarter under your belt, you guys are able to kind of dive into the businesses and go to market more as a cohesive brand and whatever you attempt, you may do that. Maybe you could talk about the early indications of abilities to cross sell where you’re seeing the opportunities, anything that submerged to date or things that might be more of a challenge than you previously expected.
Randy Hogan: Well, we've identified and we talked before about food and beverage product line where we sold a combination of the Pentair legacy products in food and beverage along with some keystone valves and there was a real win-win. I mean, we ended up getting twice as much volume on that project. Maybe they would've done one separately but for sure there were one together. And so in that -- in those process industries like food and beverage, there is some real good -- and I would call them right now they are project work. We don't yet have -- and this is the next step to put in a process, so that that happens regularly. So that gets into who gets the sales credit, how is the gig covered, all of that. That’s work that they actually talk least and the growth team will be working along with each of the GBUs. We think energy is another place where we see some good cross-selling. We’ve got some leads in process technologies, basically separation technologies as a result of the Valves & Controls people. Again some early wins and how do we institutionalize those in terms of profits. So that’s -- I think we validated that there is a lot of cross-selling opportunities, some exciting cross-selling opportunities in the Middle East as well around what I would call middle-easternized products from the Far East that would be a capability we have there, we can be launching. And so again it’s taking those ideas and institutionalizing them to drive the growth, that’s our focus.
Brian Konigsberg - Vertical Research: Got you. And John, if I could just ask real quickly, just on FX. So you guys actually reduced the expected headwind for ‘13 but you still see it as a one-point challenge to revenues. I mean, with the €135, why do you expect to see an FX headwind at all. I would've thought it would be a tailwind at this point?
John Stauch: Yeah. Just to clarify, it rounds to 1, it’s actually 50 basis points and all we do is take the euro as one of the currencies at the end of the period and forecast it forward. And you're right, I mean the euro won't be that much of a tailwind. There were times when we’re slightly higher than that but there is other currencies in the portfolio being $2 billion exposed to fast growth markets. There is other currency fluctuations that make up of the remainder of that 50 basis points that we’re referring to.
Randy Hogan: 600 plus Australian dollars.
John Stauch: It was lot more modest than last year and right now a huge headwind as we had in the year at this particular position?
Brian Konigsberg - Vertical Research: And if I could ask, just sneak one more quick one and I know you guys talked about pension and talked about the funding and the employee relations but I mean, what interest rates are actually starting to creep up here. I mean, you just split a $192 million funding that back up. I mean why wouldn’t you just want to grow out of that?
John Stauch: Well, I think that that is a strategy. We certainly considered it. I mean there are other points in the scenario especially over the last three years that you could have looked back and said that same thing and it didn’t exactly go in your favor. But I want to remind everybody the really reason we did it is, half the company which was Tyco, we were going to have to adopt this anyway by putting it into purchase accounting. And then we get into a situation of trying to create a path where everybody's on the same plans. Everybody is in the same position, there is no favoritism within how we look at those plans and its just make sense to adopt moving forward. The other thing is in putting branding behind us, putting the restructuring behind us, now pension is behind us and it's not something that this company needs to concern itself with anymore on these North American domestic plans and certainly not something our shareowner has to think from year to year is that going to be a tailwind or benefit. I don’t think any of us can predict where that’s going to go. If the interest rates going to go up like you're right and our returns are going to go up, I mean those are natural hedges to other things that occur, right. So this is all part of a constant look at what’s the appropriate capital allocation strategy for the company. And if you think about it, we had a whole back $200 million of any form of investment to cover this from the way the rating agencies looked at it any way. So that was what I think on that money. So when you’re not earning anything on cash, it seems a lot easier to fund it, put that headwind behind you and move on with what we feel we do best, which is the operation results of the company.
Brian Konigsberg - Vertical Research: Got you. Thank you very much guys.
John Stauch: Thank you.
Operator: Your next question comes from the line of Josh Pokrzywinski with MKM Partners.
John Stauch: Hey, Josh.
Josh Pokrzywinski - MKM Partners: Hi. Good morning, guys. Just a couple of clarification questions here. First in the analyst day presentation, you guys talked about share count at 203 million squiggle for the year and now worth 205 million. Is that -- am I missing any kind of offsetting guidance or is that just kind of a bias now that maybe a couple of pennies lower in the range?
John Stauch: I think our range is still intact with that. I mean, obviously those are the types of puts and take that are going to occur. We can't predict what the buybacks are going to be. We’re still on pace to buyback the 400 million in addition to what we bought before. And there is going to be fluctuations on what the purchase impact is and where the share price puts the dilution. But all the assumptions are the same other than the math that creates what the end point is, Josh.
Josh Pokrzywinski - MKM Partners: Okay. That’s fair. And then just -- can you walk me through the progression and technical solutions, obviously, exiting the year at a pretty healthy margin rate given where you’re planning on starting. How should we think about the cadence of that and then as we look out into, I’ll say, 2014 but pick any normalized year. Is that -- should that be more linear going forward?
John Stauch: Yeah, I think, I mean, first of all Pentair had a seasonality that I think our shareowners and certainly us get used to. And being 40% exposed in North American residential in legacy Pentair, we saw a pretty big kick up in Q2. And we still have that same amount of money into less percentage of the company, so Q2 will be a season that continues. What we’ve learned about the new business is sort of as follows. I mean, Valves & Controls are the capital dependent business and their strong quarters are in the second half of the operating year as those capital expenses of their customers and as Randy mentioned get agreed upon and then get less.
Randy Hogan: One thing, I’ll add though in this capital, it comes in tens of thousands of transaction.
John Stauch: Sure. And so it’s a lots of these projects. So they’ll tend to be more backend loaded, Josh. And that plays on the seasonality. Thermal, which is a business that we love, has a very strong Q3 and Q4 in our system and that’s primarily because they are weather dependent and they stock up the distribution channel and there is a seasonality in that business. And finally valves which is the other business we acquired in Australian market. And as we know the seasons in Australia are different than what they are here in the United States. So I don’t think we picked up anything that helps our Q1 seasonality. We certainly picked up businesses that helped Q2 and Q3 and Q4. And I think that needs to be understood and as I mentioned earlier, we’ve got a timing of the repositioning savings in the way we have to recognize the sourcing benefits that we know as Randy mentioned. We’ll have to flow through inventory and those tend to be backend loaded here.
Josh Pokrzywinski - MKM Partners: Got you. Understood. And then just one last one, on inflation, I know, it came up on the analyst day but it’s looking like a pretty big year-to-year drag in '13. I’m sorry, if you already addressed this. How much of that is kind of material cost versus employee inflation that you can see coming?
John Stauch: Yeah, I mean, we are annualizing somewhere around three-ish percentage on employee costs and that varies by country and region obviously and areas like China and India are seeing enormous inflation. But overall that’s what the employee base is. I think we have planned material inflation somewhere in the 1.5% to 2% range that is slightly higher than we’d been experiencing and realizing and candidly who knows, right. I mean, I think this is the way we plan for it and then we go out in every negotiation we deal with individually. There is an expectation that there will be modest inflation in the back half of the year higher than what we experienced in the first half.
Randy Hogan: As the economy
John Stauch: As the economy does better.
Josh Pokrzywinski - MKM Partners: Sure. But I would imagine the offset to that though is that price is probably a little bit better as well?
John Stauch: It’s probably.
Josh Pokrzywinski - MKM Partners: It seems like the -- at least the cycle so far, however you want to define a cycle, I guess, that the upside surprise is that price has done a lot better job offsetting inflation than maybe it did in the past.
Randy Hogan: That’s true. That’s correct.
John Stauch: Josh, the other thing I would say is I think Randy and I and hopefully you guys who give us credibility for this. They are very faster learners but there is lot to learn about the new businesses. And we need to understand them, we need to understand their patterns. We need understand the commitment levels, the project execution, the timing in delays and that’s in our particular outlook as well.
Josh Pokrzywinski - MKM Partners: Understood. Appreciate. Thanks guys.
John Stauch: Thanks.
Operator: Your next question comes from the line of Deane Dray with Citi Research.
Deane Dray - Citi Research: Thank you. Good morning.
John Stauch: Good morning, Deane.
Randy Hogan: Good morning, Deane.
Deane Dray - Citi Research : There's been a lot of questions about the pension move. I just maybe I missed this, but is this the same international pension standard that Honeywell moved to four years ago?
John Stauch: It is.
Deane Dray - Citi Research: Okay. Great. Because from our perspective, the timing on this seems right for you guys. In fact, you are fully funded, that is a big plus. And this whole move to going to fixed in the assets is the move that everyone else is trying to get done. So kudos to you to having done this now and the timing looks right. And just a couple of operating questions for me. This is the typical time that we would be asking about pool, but I'll say it in Aquatech’s. What is the early buy? Was there any activity there? And you made a comment about inventories being low, but just if you could flesh out those comments, please.
Randy Hogan: I think the inventory comment -- pool, Aquatech’s is doing quite well, had a quiet good early by, which I think portends well for the season. The comment about inventory is really looking at the pump in the filtration channels. Those are the ones that we’ve been looking for some rebound in residential. Haven’t quiet seen it in pump yet but see it now in filtration and treatment. So there was, what those inventory comments were about -- and I don’t know John how we fill about the channel and pool.
John Stauch: I mean I think we fill good, Deane. I mean, as Randy mentioned, I mean it grew double-digit again in 2012, Aquatech’s did. They had a -- in fact, they regularly buy and I think the overall pool channel feels fairly optimistic about mid-to-high single digit growth again next year. It is affluent buyer and these are warm weather states where it’s almost a must to buy them. So I think that part of the industry we feel really good about. As we’re tracking housing starts and as Randy mentioned on filtration pump, we’re mindful of urban build versus more rural and suburban and the impact that has on well and water softening components. At the same time, we still have a significant opportunity of point to use filtration that comes with all purchase.
Randy Hogan: The exciting thing for Aquatech’s is, it looks like certainly Florida and Arizona, two of the biggest pool markets in the country and two of the markets that were slammed the most in the housing downturn are beginning recovery which means that will be on top of the innovation -- the innovation thrust that has been driving the growth in that business. So we feel good about that and about where they are in aquaculture as well.
Deane Dray - Citi Research: Hey. That’s all good to hear. And then maybe I missed this in earlier comments, but what was the impact from the Sandy storm, specifically on both the sub pumps and the retail side, some of the bigger dewatering pumps? And can you quantify what the impact was?
John Stauch: Yeah. I’ll be specific to the pumps because it’s the only place we can really measure and track it. But we thought we saw $10 million to $12 million optic on the pumps that we sell into the North East on revenue. As you know Deane, those are under highest margin pumps but it was nice to see some lift and so that’s kind of how we framed it.
Deane Dray - Citi Research: Great. Thank you.
Operator: Your next question comes from the line of Hamzah Mazari with Credit Suisse.
Hamzah Mazari - Credit Suisse: Good morning. Thank you. Just hade one question, on the Valves & Controls business, do you guys have a sense of how much better the margin profile is of what you’re currently booking in that business versus maybe a year ago and maybe if you could also address how much of that business you think is after market. Any color you can give would be helpful? Thanks
John Stauch: Yeah. I mean, I think this well known at the bookings and the large orders in oil and gas across the industry don't bring the margin that rest of the segmentation as Randy mentioned bring. So as those become less of a component in the overall backlog, the overall margin should get better. But there is still future margin pressure from the large oil and gas jobs that that have been booked in the past and were mindful of that in measuring to that. The MRO activity is picking up and it represents when we think about after-market service and book and ship business that represents right around 50% of the overall shipments within a year.
Hamzah Mazari - Credit Suisse: Okay. Great. Thank you very much.
John Stauch: Thank you.
Operator: Your next question comes from the line of Brian Drab with William Blair.
Brian Drab - William Blair: Good morning.
John Stauch: Hey Brian.
Randy Hogan: Good morning.
Brian Drab - William Blair: Just a question on the revision of the 2012 revenue, so looks like originally we’re expecting 7.5, any revise that this 7.3 roughly and the fourth quarter was in line. So you said, you excluded some big projects, may be I missed but can you give a little more detail around which segments those projects we’re in?
John Stauch: Yeah. And again this is a pro forma but I don’t want you have to dig through it. But there is a large project in technical solutions north of $100 million that shipped in ‘11 and ‘12, which we removed. There is no shipments planned for that project at all in ‘13 or any large projects in ‘13 for that matter. We also removed divestitures and technical solutions that will make up the delta that you're seeing. And then in the Valves & Controls side, it was primarily just related to as I mentioned earlier the sanctioned country revenue
Randy Hogan: And disposition.
John Stauch: And one disposition.
Brian Drab - William Blair: Okay. Okay. On the technical solution side, that wasn't in the legacy business was it? That was in the Thermal Control business?
Randy Hogan: No it’s in thermal.
John Stauch: It’s in the thermal side.
Brian Drab - William Blair: So I just -- I'm curious as to what -- how you can -- why you had to adjust for that business typically is the business where you’re going to see large projects. It’s just the inherent in the nature of that businesses, isn’t it?
John Stauch: Yeah. I mean but I think as they comment as they’re large. I mean obviously we will share what they are and what we’re doing with. I mean I think the other.
Randy Hogan: We’re not in a position to talked about that project. We were involved in it and anything going forward, we will be able to talk about it.
John Stauch: And we just didn’t want to mention fourth quarters in a row, I mean.
Brian Drab - William Blair: Yeah. Okay.
John Stauch: We would have to stay without these projects here though it was, so inability of looking at the pro forma numbers. We also took out the operate income associate with those project as well. So that we would be able to concentrate on the revenue required to hit the targets and therefore the conversion on the operating income side.
Brian Drab - William Blair: Okay. And then I just one other thing that I may have missed your discussions but the inventory step-up and customer backlog, your forecast for the fourth quarter at one point was $80 million, came in at 180, if I’m looking at the numbers correctly is it. Can you talk about that change and maybe categorizing different?
John Stauch: Yeah. I think there might be categorizing more differences there. I mean I think the 180 -- there is a higher degree of impact on Valves & Controls. As you know, we have to take all the projects and basically strip all the margin out of all those and that one came in a little bit higher and that makes up most of the component of that change.
Brian Drab - William Blair: Okay. I follow-up more. Thank you.
John Stauch: Thank you.
Operator: Your next question comes from the line of Garik Shmois with Longbow Research.
John Stauch: Hi Gary.
Garik Shmois - Longbow Research: Hi. Thanks. Just a couple of real quick housekeeping question for me. Can you provide me an update as to much new U.S. residential now represents for your business?
John Stauch: Roughly 20% of combined revenue.
Garik Shmois - Longbow Research: That will new residential as opposed to…
John Stauch: I’m sorry. That will probably closer to 5%.
Garik Shmois - Longbow Research: 5%. Okay. Thank you.
John Stauch: 5% or less.
Garik Shmois - Longbow Research: And then just a question on the buybacks. You are on track for $400 million through the end of January. I'm just wondering if you could provide a little bit more color on how you are viewing buybacks through 2013, maybe the cadence of buybacks as you move through the year. Is it going to be more seasonal in line with cash flow or could it be more linear?
John Stauch: The way we are thinking about is more value average, so probably doing it more ratably over the year, it’s planned here and what I think is likely.
Garik Shmois - Longbow Research: Okay. Thank you.
Operator: Your next question comes from the line of David Rose with Wedbush Securities.
David Rose - Wedbush Securities: Good morning. This is actually a follow-up to a prior question on the inventory. If you could, my understanding was the inventory and backlog would be amortized through Q3 in 2014 respectively, backlog through 2014. And given the increase in backlog for Q4, how does that dynamic change then? I understand the call that you are now going to be finished by Q2, the step-up and the backlog.
John Stauch: That’s our goal, yes. I mean, we are trying to aggressively get it all out and get it behind us on the first half of 2013. I mean, we’ll update you if we feel there is a leakage in the Q3 right now but the real issue is to try to put the noise behind us and look on to the numbers that represents the full drop to the EPS.
David Rose - Wedbush Securities: Was there any inventory obsolescence that we saw in the fourth quarter then?
John Stauch: Yeah. There was a little bit of that.
David Rose - Wedbush Securities: Ballpark, I mean, was it meaningful?
John Stauch: $3-ish million, probably.
David Rose - Wedbush Securities: Okay. And then lastly, if you could on the fast growth markets that, you have some pretty bold numbers compared to what historically you’ve been excited about. So maybe you can provide a little bit of more color in terms of did the dynamics within those fast growth markets Latin America, China, India, yeah, what are we…
John Stauch: I think we think we have significant opportunity, we are focusing on six fast growth regions and if you kind of go around and you think of Latin America. I think we are being a little bit more modest is, Randy has given direction to the team and we are actively working to have higher levels of sustainable revenue growth around large more impactful projects and/or product lines.
Randy Hogan: Yeah. Initiatives.
John Stauch: Initiatives, and I think what we’ll see is, a focus and a prioritization on those particular vertical markets some of it Randy highlighted energy, power, mining, oil and gas, industrial process, where we think we can bring an aggregated sale to the end customer base and begin to position ourselves into a lot more of a sustainable business model, then some of where we have gone with a particular product and there has been not a follow on localization of that product, so I think we are going to see a lot of strategy work done here in ’13 and I think we positioned our fast growth markets, there still be a contributor, but we want to be profitably contributing and I think we have the ability under the Pentair sales offices to do so.
Randy Hogan: I would just add, we the numbers right now are the summary of what did you say, they are not saying not about what market back ideas are and that’s a big objective as we put these businesses together in the fast growth region. We have 2600 employees now in China. Where do we want to be in China, I mean, would that kind of scale, we are further along actually in the Middle East on that thinking, we are probably enough 1500 employees, and we are further along there and we -- clearly the opportunity China and Southeast Asia seeing. So we haven’t really -- the numbers not yet informed by our strategic intent.
David Rose - Wedbush Securities: Okay. Thank you.
Operator: Your next question is a follow up question from the line of Jeff Hammond with KeyBanc Capital.
Jeff Hammond - KeyBanc Capital: Hi, guys. Just to be clear on the guidance change on revenues, so that the $100 million lower revenue, I guess the $7.6 versus $7.7, that’s purely a function of prior year comps?
John Stauch: Yeah. The year-over-year expectations are the same, and obviously as we dug in and got to know some of the components of the revenue, Jeff, there is clearly some revenue that will be primarily at the divestitures and the sanctioned country. And then as we mentioned earlier, we stripped the large project out. The numbers are there with and without it and you guys can certainly look at it, however, you feel it best serves you. We just did as we wanted to focus on going forward and talking about the cadence of building the revenue and growing. We want to make sure you had the basis to what you are launching from.
Jeff Hammond - KeyBanc Capital: Okay. But if you kind of applied the 30%, 35% incremental to that, what’s kind of offsetting that within the unchanged guidance?
John Stauch: I don’t think there is a lot there other than some of the components of that revenue were all that profitable, which I don’t think the 30%, 35% will reflect all of that. And I think one of the things as I mentioned that we’ve taken out is also the 20-ish million dollar impact of the sanctioned country write-offs associated with no longer providing those products to their customers and I think that changes the base a little bit there too, Jeff.
Jeff Hammond - KeyBanc Capital: Okay. Thanks, guys.
John Stauch: Thank you.
Randy Hogan: All right. Thank you.
Operator: And there are no further questions at this time. We will now turn it back over to our presenters for any closing remarks.
Randy Hogan: Okay. Thank you. I think we are done. So you can give them the calling numbers. Thank you all for listening.
Operator: And this concludes today’s conference call. You may now disconnect.